Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Best Buy conference call for the second quarter of fiscal 2010. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator instructions) I would now like to turn the conference call over to Andrew Lacko, Senior Director of Investor Relations. Please go ahead, sir.
Andrew Lacko: Thank you, Michael. And good morning, everyone. Thanks for joining us this morning for our fiscal 2010 second quarter earnings conference call. Today we have two speakers for you. First, Brian Dunn, our CEO, who will share with you his thoughts on the results we reported this morning and what we are seeing as we head into the second half of the year. Second, Jim Muehlbauer, our EVP of Finance and Chief Financial Officer, will provide you with some additional color on our second quarter financial performance and provide you with an update on our fiscal 2010 guidance. After our prepared remarks, we anticipate that there will be ample time for your questions. As usual, we also have a broad management group here in the room with me today to answer your questions after we make our formal remarks. We would like to request that callers limit themselves to a single question so that we can include more people in our Q&A session. Also, consistent with our approach on prior calls, we will move to the end of the queue those who asked a question on last quarter’s conference call. We’d also like to remind you that comments made by me or by others representing Best Buy may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management’s expectations. May we also remind you that as usual, the media are participating in this call in a listen-only mode. And with those housekeeping items aside, I’d like to turn the call over to Brian Dunn. Brian?
Brian Dunn: Good morning, everyone. Thanks, Andrew, and thanks to all of our listeners for joining us for our second quarter earnings conference call. I’d like to cover a few topics with you today. First, I want to spend a couple of minutes reflecting on the first half results as compared to our expectations. Second, I’d like to talk to you about our market share gains and why we feel that these gains are an important part of our story. Last, I’ll give you an update on why I’m so excited about the second half of this year. After that, I will turn it over to Jim to add some more color on our Q2 results and provide you with an update on our financial guidance. Turning to the numbers, this morning we reported quarterly net earnings of $0.37 per diluted share, which was consistent with our expectations for the quarter. Our second quarter results were driven by strong sales growth, as we believe we captured a record amount of market share during the period. We were not at all surprised by the results we reported, but we are ahead of where we thought we would be for the first half of the year when we gave our fiscal 2010 guidance earlier this year. And as a result, we announced this morning that we have increased our non-GAAP diluted EPS guidance for the year to a range of $2.70 to $3.00. As is always the case for us, the year-to-date results we reported this morning and our increased optimism for the second half are made possible by the commitment and expertise of our employees around the world and the work they do everyday. I’d like to take this moment to thank each and every one of them once again for delivering such strong results. When we started this year, we believed that we had a unique opportunity to present a compelling and unmatched experience for the customer who has never shopped with us before and a second chance to win the loyalty of the customers who might have shopped us in the past and found the experience lacking. As a result of that opportunity, we have purposely put plans in place to take market share. And I’m pleased to tell you today that these plans are working. For the three months ending July 31, we believe that we gained approximately 270 basis points of market share in the US. 270 basis points, the single largest share gain that I can recall. These results are stronger than the gains we reported last quarter, reinforcing our belief that our market share can and will continue to grow. In fact, we believe that so far this year we have gained more domestic share in our space than anyone. Let me emphasize one point. As impressive as these results are, market share gains are nothing new to Best Buy. In fact, according to our estimates, this marks the 15th consecutive quarter of share gains for us. We have a track record of acquiring and retaining market share, and we believe our ability to continue to do that is greater than ever. Customers need someone they can trust to provide perspective on our fast-moving, exciting, but often confusing industry; someone who will work with them to make technology work for them. Customers are moving to brands they know and trust. And in this quarter, like the last several, our strongest performance came from areas where customers need the most help connecting and integrating technology into their lives; televisions, notebook computers, digital cameras and mobile phones. In fact, as we have discussed with you in previous calls, we view these products as on ramps to the connected world. Market share is an incredibly important strategic indicator for our business because we know as we move into the connected world, the value created in our industry will be derived less and less from the active selling boxes and more and more from the active creating complete solutions for customers, solutions that will fully integrate the fiscal world of products with the digital world of services. So every customer relationship we foster today can mean growth both now and in the future. Before I turn it over to Jim, I’d like to give you an update on how we are thinking about the balance of the year and why we expect to see outcomes better than we originally forecast. Back in March we said we intended to take full advantage of the new economic reality and to use it to pressure test and galvanize our strategies. More than ever before, this environment has highlighted, one, the value of our relationships with our customers, and two, the vital role our employees play in that equation. We are fully aware of the near-term challenges our customers are facing, but we remain anchored in our long-term view. In my 24 years at Best Buy, I have experienced some peaks and valleys in this dynamic industry. And drawing on that experience, I’m increasingly optimistic about the second half of the year for several reasons. First, the relative value of consumer electronics has never been greater. I think that right now is a great time to be a customer. Today, a person can get more entertainment value and more productivity from technology than ever before and it’s never been more affordable. Technology is becoming a bigger part of people’s lives and it’s helping them stay connected and stay entertained in new and exciting ways. I have often said that Best Buy doesn’t just compete against people who sell CE products. We compete against everyone who offers the customers a choice on how to spend their discretionary income. In this environment, more than ever, value is increasing importance to consumers, but value is being defined in new ways. Competitive prices will remain important table stakes, but customers are looking for their purchase to add benefit to their homes and lives. They are looking for retailers that can help them get the most out of their discretionary and not so discretionary purchases. We think that our combination of great people, great prices and great solutions will put us in excellent position for the rest of this year and well beyond. Let me give you a very recent example. Last week, The Beatles Rock Band video game was released to the world. I think we would all agree that this game by most definitions is a 100% discretionary purchase. But we sold tens of thousands of units on launch date. Parents are choosing to spend time playing a video game based on music that was released 40 years ago to connect with their children. This tells us that many consumers are willing to spend money on meaningful, lasting experiences, and they will gravitate to the people and brands they know and trust when the right opportunities arise. And we think our second half contains many of these opportunities. We will see new technologies and a new operating system from Microsoft in the computing category, ultra-thin Internet-enabled flat panel TVs, wonderful new smart phones, and compelling holiday offers. Customers will have the ability like never before to experience the connected world. And if they need help realizing the full potential of their technology, the Geek Squad will be there to help. Last, I know our store teams around the world will be focused and prepared like never before. Earlier this year, we made some necessary changes to our operating model; changes that we believe will allow us to create a better shopping experience for our customers. But changes can also put short-term pressure on a business and create distractions. By this holiday season, our store teams will have had five full months of the new operating model under their belts. These past months of working out the kinks will help us more consistently deliver a better experience for customers. Since becoming CEO early this year, I have spent quite a bit of time visiting with employees and customers around the world. What I continue to hear is an expression of a deep-seated belief in the power of technology to help people and an equally powerful belief that Best Buy is uniquely positioned to help make that happen. I want to leave you with one final thought. We are proud that in a time when so many retail storefronts are closing, we continue to grow and to manage our business effectively, the right way for today and the long-term, by remaining 100% focused on taking care of our employees and customers. Along the way, we are creating jobs in local communities around the world, providing opportunities for thousands of new and existing and employees and helping millions of customers to get the most of their technology and entertainment experiences. With that, I’ll turn it over to Jim Muehlbauer for his thoughts on our quarterly results and expectations for the rest of the year. Jim?
Jim Muehlbauer: Thanks, Brian. And good morning, everyone. This morning, I would like to provide you with an overview of our second quarter financial results and how they compared with our plans for the period. Secondly, I’d like to give you an update as to how we are thinking the balance of the year may play out and provide you with updated fiscal 2010 guidance. As Brian mentioned upfront, our net earnings of $0.37 per diluted share were generally in line with our expectations. Overall, we continue to be encouraged by these results, especially given the more difficult year-over-year comparisons we faced in the quarter. Total revenue for the enterprise rose 12% to $11 billion. The revenue increase was the result of the inclusion of Best Buy Europe and our new store growth over the past 12 months, offset partially by a second quarter comparable store sales decline of 3.9%. As a reminder, we have now reached the first anniversary of the Best Buy Europe acquisition. And as a result, this will be the last quarter in which our prior year results do not reflect the inclusion of the European business. Domestically, second quarter revenues increased approximately 2% from last year to nearly $8.3 billion. The quarter saw a comparable store sales decline of 3.1%, which was an improvement over the 4.9% decline in comparable store sales from the first quarter despite having a more difficult comparison. Similar to prior quarters, we saw low double-digit comparable store sales declines in gaming, appliances and cameras. These declines were partially offset by gains in computing and mobile phones, categories that continue to be in demand for our customers and a bright spot for us as evidenced by their low-double digit and mid-double digit growth respectively. Additionally, flat panel TVs saw comparable sales increase slightly versus the prior year, as unit increases offset the declines in the average selling price. While the second quarter comparable store sales performance was negative, these results are significantly better than the overall trend experienced in the CE industry. We continue to see signs of stabilization in our customer traffic, which is very encouraging. We actually saw a slight increase in traffic for the second quarter, which speaks to our strong share gains as customers continue to accelerate their migration to our model. We experienced slight growth in overall ASPs, as notebook computers, mobile phones and televisions increased in the revenue mix, offset by a slight decline in units per transaction. The net result was an average ticket that was down slightly for the quarter. Turning now to international segment, revenue increased nearly 65% to $2.7 billion. This revenue performance was in line with our expectations. Canada experienced a low-double digit comparable store sales decline, as difficult macroeconomic conditions continue to adversely impact that region. Despite this decline, we were able to grow market share in the region by approximately 20 basis points. In China, we experienced low-single digit comparable sales growth. One of the areas that I’m sure you are focused on after reading our release this morning is our gross profit rate performance for the quarter. What I’d like to do is provide you with some additional color on the results with an emphasis on our domestic performance. After that, I’ll revisit what we shared with you earlier in the year on what we expected for gross profit performance for fiscal 2010 and then discuss the modest changes we now expect for the year. Overall, our enterprise gross margin rate increased 10 basis points to 24.4%. The year-over-year increase was a result of the inclusion of Best Buy Europe, offset by a domestic margin rate decline. The domestic gross profit rate of 24.3% reflects a 60 basis point decrease year-over-year. Margins in the quarter were a bit softer than we expected and included a 20 basis point decline in rate and a 40 basis point decline due to mix. On the whole, the 40 basis point mix decline was generally consistent with prior quarters and reflects continued strength in categories such as notebook computers, products that tend to have lower margins on average. Helping to partially offset the negative mix pressure, we continue to see growth in Best Buy Mobile and a lower mix of gaming hardware, which carries lower margins. What likely caught your eye this morning is the reduction in the gross margin rate compared to our first quarter results. During the second quarter, we launched focused initiatives to both drive sales of connected devices and traffic to our stores. Examples of these initiatives include items such as the successful launch of the new iPhone, a product that is in high demand with our customers; improved solutions and pricing in categories such as televisions and digital imaging; and reactions to competitive opportunities in categories where we have significant upside to grow our business, like appliances. The combination of these planned initiatives lowered our gross margin rate in the quarter and helped improve revenue. As we discussed at the beginning of the year and on the first quarter call, we had expected that our margins in the domestic business would be relatively flat for the year. We had a fast start in Q1 as the result of improved product transition and promotional strategies. We expect the conditions we saw in Q2 in our mobile phone business to subside as we continue to progress to the back half of the year. While we now anticipate domestic margins will decline modestly for the year, we expect that the focused initiatives we are undertaking will be more than compensated for by higher sales volumes and profits for the year. Turning now to the enterprise cost performance, we continue to perform well versus the prior year and consistent with our expectations. SG&A expenses totaled $22.4 billion or 21.8% of revenue for the quarter. The inclusion of Best Buy Europe higher operating cost model contributed to a majority of the rate increase. SG&A deleverage for the quarter across the enterprise was better than we expected due to tight cost controls and stronger than expected revenue performance. When looking at our SG&A dollar spend, excluding FY ’09 acquisitions, our year-over-year spending actually declined despite the additional cost associated with operating 134 more stores versus last year. When you roll it all up, Best Buy’s domestic segment reported fiscal second quarter operating income of $315 million, which was flat versus last year. In fact, for the first half, our domestic segment’s adjusted operating income is up almost 9% and our adjusted operating margin increased 30 basis points to 4.1% despite posting a negative 4% comp in the first half. Looking now at the international segment, this is likely the other area where you may have some questions. So let’s peel back the layers on our international operations and highlight the business performance and investments that are driving the sequential change in performance versus Q1. First, we are encouraged that our operating earnings trends in Canada and China improved from the prior period. While each country is still facing economic headwinds, the respective second quarter performances were largely in line with what we expected. Looking at Best Buy Europe, while the business delivered an operating loss for the quarter, these results were in line with our plans. The change in the international operating income from Q1 to Q2 is largely driven by the seasonal phasing of earnings in the European business. Like many small box retailers, the cost structure of Best Buy Europe is largely fixed throughout the year, while revenue performance varies with seasonality. Additionally, Best Buy Europe’s gross margin rate varies throughout the year and is significantly impacted by the attainment of volume incentive rebates from carriers and handset manufacturers. These rebates are often higher later in the year. Accordingly, what we reported today in our second quarter results represents the seasonal low point for both revenue and margin rate for the Best Buy Europe business. Peak sales and margins historically occur during our fourth and first quarters. The phasing of these earnings for Best Buy Europe was anticipated and incorporated into our full year expectations for the Best Buy Europe business, and we continue to be on track with these expectations for the year. So when you add it all up for the enterprise, it results in operating income of $280 million for the quarter, a 70% decrease versus last year. While we are not satisfied with the year-over-year decline in operating income, we believe this quarter’s results are very solid when you consider that it was delivered in a challenging economic environment and against the very difficult comparisons we faced due to the impact of stimulus checks in fiscal 2009. Turning now to our tax rate, similar to our discussions on the first quarter call, the effective tax rate of 43% in the second quarter reflects the timing impact of losses on certain international operations that placed upward pressure on our effective tax rate. We estimate that this timing negatively impacted the second fiscal quarter’s diluted EPS by approximately $0.03. As a reminder, we expect this timing will reverse in the second half of fiscal 2010, primarily in Q4, and as a result, we still anticipate that our annual tax rate will fall in the upper end of our original guidance range of 38.0% to 38.5% for the full year. This brings to me to our earnings outlook. As I mentioned earlier, our year-to-date performance is ahead of our expectations, and our market share and traffic trends are improving, which gives us reason to be encouraged about what lies ahead. However, we also fully realize that the economic environment will continue to put pressure on consumers. On balance, however, we have increasing confidence that the traffic stabilization we have seen year-to-date will continue to the back half of the year. While the majority of the annual earnings occur during the upcoming holiday selling season, we are comfortable in raising our bottom and top end guidance expectations for the year. For fiscal 2010, we now anticipate that revenue will be in the range of $48 billion to $49 billion, which is an average of an 8% growth year-over-year, with comparable store sales now projected to be in the range of flat to down 2%. We believe that our comparable store sales performance will continue to improve as the remainder of fiscal 2010 unfolds. From a gross profit rate perspective, we now anticipate that our enterprise gross margin rate will increase by 10 to 20 basis points year-over-year, which is down slightly versus our prior guidance. The domestic business full year gross margin rate is now projected to be down 10 to 20 basis points year-over-year, which again is slightly lower versus our previous guidance. We continue to aggressively manage our SG&A costs. And while we have not changed our discretionary spending plan expectations, we have updated our full year SG&A dollar growth guidance to reflect the increase in variable costs associated with the higher revenue in profit outlook we provided. As a result, we now anticipate that our fiscal 2010 SG&A dollar spend will not exceed 1.0% to 1.5%, excluding fiscal 2009 acquisitions. To conclude the overall enterprise P&L outlook, we now expect our fiscal 2010 non-GAAP EPS to be in the range of $2.70 to $3.00, which excludes first quarter restructuring charges of roughly $0.06 per diluted share. While we are increasing our fiscal 2010 guidance, it is important to point out that there remain several key opportunities in risk that we are monitoring in the current environment, which could have a material impact in our performance. Key items include changes in consumer spending behaviors as the economy continues to remain challenging, reaction by competitors and vendors to the current climate, and the availability and cost of the consumer credit resulting from increased charge-offs in the industry and legislative changes. So to summarize, we delivered strong relative performance in the second quarter and during the first half of the year. We delivered significant share gains and grew top line revenue, all while maintaining disciplined expense control. Given that we now have six months of the year behind us and while still clouded, we have a slightly better view of what lies ahead for the back half of fiscal 2010, we are raising our full year EPS guidance. We remain focused on delivering our plan and working to exceed expectations in this environment while investing in the future growth of our business. With that, I’d like to open up the call for questions.
Operator: Thank you, sir. (Operator instructions) Our first question is from the line of Mike Baker with Deutsche Bank. Please go ahead.
Mike Baker – Deutsche Bank: Thanks, guys. So, my question will focus on the gross margin. So just penciling through quickly on some of those numbers you just gave, I think it implies second half domestic gross margin down somewhere in the 25 to 35 basis points range, which is better than the down 60 you just reported in the second quarter. Is that because you expect it to be less promotional or is it because comps get better and so then you leverage some of your occupancy a little bit more? So if you could discuss why it should be better, i.e., less worse in the second half? And I guess related to that, how does the services business play into the gross margin trends? It’s noticeable that the services business comped negatively this quarter versus positively in the first quarter. So do we expect that to once again comp positively in the second half? Thanks.
Jim Muehlbauer: Okay. Hey, Mike, it’s Jim Muehlbauer. Thank you for the question. Maybe just a little context on our margin rate for the year overall. Remember, we began the year with expectations for our domestic gross margin to be roughly flat year-over-year after actually growing it about 10 basis points last year, which as you know was very atypical for retailers, especially in the back half of last year given what was going on in the industry. So we got off to a quick start in Q1 due to a number of reasons that we reviewed on the last call. But we talked about the ability that we had to bring some additional new product lines, especially in the camera space into our stores in Q1 in advance of competition. We also talked about being short in inventory in Q1. And some of the areas we were short in inventory were some of the lower margin areas and smaller television screen sizes. So as we rotated into Q2, we actually as anticipated improved those in-stock positions on smaller screen sizes in televisions, which drove some of the rate down. As we look really to the back half of the year, we really haven’t changed our view competitively on what we think the environment is going to look like. A long way to go between now and the holidays, but looking at an annual number for the domestic business of down 10 to 20 basis points versus an original expectation of flat, honestly just isn't that dramatic of a difference. The thing I do think that we will face in Q4 of this year is we and many other retailers received benefits from vendors as they were trying to move through inventory at the end of last year. We are going to be lapping some pretty tough vender numbers from a support standpoint in the back half of the year. So I think that’s going to provide some softness, but we continue to see opportunities to leverage the various promotional strategies that we have in place. And what we have learned over the last couple of years about how to drive the business in areas that are relevant to the consumer by bundling solutions, which include some of the services that you talked about, Michael. I think we will continue to play out in some of the offers we put forth in the back half of the year. Specifically, your question around services comps, I think you noted that you saw that they were negative during the quarter. This is one of the dangers of segmenting your business in a product view way versus really understanding how the consumer looks at it. One of the offers that we drove during the quarter was a reduced price on installation. So customers, I believe, and Mike, you can correct me if I'm wrong, if they purchased a TV over $999; we basically provided installation for them. So the revenue associated with that installation is not showing up in the services business line where it would historically. Basically it is showing up within our margins within the television space. So our service business actually grew. But from a comparable store sales standpoint when you look at the service line individually, it looks like comps are down. Thank you for your question.
Mike Baker – Deutsche Bank: Thanks.
Operator: Thank you. Our next question is from the line of Michael Lasser with Barclays Capital. Please go ahead.
Michael Lasser – Barclays Capital: Good morning. Thanks a lot for taking my question. One way to perhaps think about the collapse of Circuit City is it that it created this unique market share opportunity with many retailers competing for that share. And perhaps aggressive promotional environment might permanently erode the economic of the business, as all those folks are competing for the share. How do think about that possibility? And then what gives you the confidence perhaps that gross margin will subside, not just for the next couple quarters, but over the longer term?
Brian Dunn: This is Brian. Appreciate the question. I think one of the things we sorted [ph] as we peeled back the onion on Circuit City’s departure from the marketplace, Circuit City was not the driver of price. I would not describe Circuit City as a price leader in the environment. We get this question a lot. What Circuit City has done, their departure has created an opportunity for customer acquisition, as I mentioned in my comments on the call. What’s really important for us is, one, being there on price is table stakes. We have to be there and be competitive on price and we will be. Where we are going to win this game is where we connect price with the great service offerings we have and connect that and power that by our employees. And that really is where over time we will take this share and we will build loyalty with it in a sustaining profitable outcome for our employees, shareholders and our customers.
Michael Lasser – Barclays Capital: Okay. So you don’t think that the economics have been permanently changed, not necessarily just because of what Circuit City was doing, but what all the other retailers that are now fighting for Circuit City’s share are doing?
Brian Dunn: I want to be very pragmatic here. It’s a very competitive environment that we are playing in and that we are competing in. And the framework for us – strategic framework for us is we are going to be there in place and it is what our people bring to it and our service offerings and all the things we can do for the customer beyond just the price on any one given box. So I think those things together are what give confidence about the economics for us.
Michael Lasser – Barclays Capital: Thanks a lot for taking question. Appreciate it.
Operator: Thank you. Our next question is from the line of David Strasser with Janney Montgomery. Please go ahead.
David Strasser – Janney Montgomery: Thank you very much. To use your phrase of peel away the onion, just to look at the gross margin a little bit differently, the mix definitely went towards the PC category. If you looked inside that category, how does it look netbook versus notebook? How is the basket around the netbook versus the notebook? And do you get a better overall gross margin percentage and/or gross profit dollars out of netbook versus notebook?
Brian Dunn: We are going to have Wendy Fritz, our SVP of the mobility category, talk about that.
Wendy Fritz: Thank you for the question. When we look at the netbook category, we view it as a companion device. So it’s an additional device, not a replacement device to a notebook. So that business is generally and vastly incremental. There is a substantial basket around the netbook, including an optical drive. Many customers are buying a netbook and finding out that they really want to load on additional software or enjoy additional entertainment content. So optical drives, service plans, different key services are all part of the basket opportunity that we are seeing in the netbook space.
Brian Dunn: This is Brian. Thank you, Wendy. I think the notion that people are going to choose one device, one on-ramp toward [ph] connectivity is an erroneous assumption. And I think Wendy’s point that the netbook is a companion device to smart phone, to notebook computing is very important to sort of understand what this means.
David Strasser – Janney Montgomery: So it’s kind of somewhere in – is it you are saying, though, is essentially you can see people buying a smart phone and netbook or notebook and netbook, but it tends to be at this point particularly at much more of an incremental product? Does it – just from a margin standpoint, did that incremental sale of the netbook hurt the – part of that reason for the gross margin to be where it was because it’s a lower margin? I’m just trying to, I guess, understand within that category sort of roughly where it sort of stands.
Jim Muehlbauer: David, within the computing category overall, one of the things we’ve been quite pleased by is that we’ve actually seen performance in rate in the last three of the four quarters. So what Wendy and the team have been doing and our store teams are finding solutions for customers to attach those bundles, have actually been driving rate improvements year-over-year in our notebook – in our computing business.
David Strasser – Janney Montgomery: Okay, great. Thank you very much. It’s helpful.
Operator: All right, thank you. And our next question is from the line of Mitch Kaiser with Piper Jaffray. Please go ahead.
Mitch Kaiser – Piper Jaffray: Thanks, guys. Good morning. I know you mentioned in the press release an improvement in sequential comp trends. Could you talk about that a little bit, and then maybe September, if you would be willing to throw that out? And then as we think about the market share gains, Brian, you’ve talked historically in higher volume quarters, you will see accelerating market share gains. Could you just remind us why we see that? Thanks.
Jim Muehlbauer: Yes. So why don’t I take the comp trend question and I’ll let Brian follow up with the market share question. Mitch, I’m not going to go into specifics around the performance month-by-month, but consistent with my comments around traffic, we did see a sequential improvement. So the last month of the quarter was obviously the best performing month, both from a traffic and from a comparable store sales perspective. Certainly that is encouraging to us to see the stability that we have now seen over the past two quarters versus the week-to-week variability we saw in the back half of last year. It seems like customers are finding a rhythm as to how they are going to use their discretionary spending, and I think the thing that we continue to be encouraged by, while being obviously very pragmatic that we are still in a very tough environment, is Brian’s point, people are looking at their dollar spend in categories that add a lot of value. And consumer electronics are still very exciting category for customers and provide a lot of value, especially in this particular window of time. So seeing that traffic stabilize versus the trend that we saw late last year and the beginning of this year is a very encouraging sign, as we head into the back half holiday season.
Brian Dunn: Mitch, to the question about our market share gains accelerating as we get into the holiday season, it has been our experience that our customers would have over the course of the first half of the year vote with their wallets, and that really pays huge dividend to us in the back half of the year as they are deciding sort of right now where they are going to be spending the bulk of their holiday dollars. That’s my hypothesis anyway as we look at it. I also want to touch briefly on – add to what Jim was talking about a little bit. We are thrilled with the velocity we saw in those on-ramp items in this quarter. We are thrilled about the velocity we saw with flat screen televisions, notebooks, netbooks, the mobility items connected with smart phones. The truth of the matter is our baskets trailed that just a little bit as that velocity – we are thrilled with it, but it caught us a little bit by surprise. So we are thrilled that customers are choosing us and we are sort of moving – having to work [ph] here on the back end to catch up on that basket and to get the right labor and the right people matched up with customers when they are in that store. That’s absolutely part of the margin story here.
Mitch Kaiser – Piper Jaffray: Okay. Sounds good, guys. Thanks, good luck.
Brian Dunn: Thanks, Mitch.
Jim Muehlbauer: Thanks, Mitch.
Operator: All right, thank you. Our next question is from the line of Daniel Binder with Jefferies. Please go ahead.
Daniel Binder – Jefferies: Hi, good morning. Just wondering if you could just give us a little bit of color on the mix shifts that are occurring in TV, mainly LED versus LCD, small versus large, private label versus branded, and what the margin implications are around that. Thanks.
Brian Dunn: We are going to have Mike Mohan, our SVP of home solutions, take that question for us. Mike?
Mike Mohan: Thank you very much for the question. Regarding mix shift, couple of things we saw in the quarter, one that’s a little bit of an anomaly but it’s a real issue with the US market. With the digital television transition, we saw a small flip in smaller screen size televisions at the beginning of the quarter, which was consistent with some of the behaviors we saw preceding the digital TV transition, not knowing what the US consumer was going to do. Other than that, the performance of the category has been consistent with the prior few calls where we still see consumers trading up in technology. They are very interested in either thinner televisions or connected television sets, and it's validated by most advanced products in our assortment we have the largest market share of. So if you look at the TV performance at Best Buy in general, we over index in the better quality or more fully featured sets, and then we complement that with a very robust offering of exclusive brands. So if you were to take a kind of summary point of view on this, we feel we are very competitive versus any channel trade with our exclusive brands product providing value and then we are delivering the best experience we can in the latest technology.
Daniel Binder – Jefferies: Net-net, are there any shifts that are resulting in any kind of margin changes in that category year-over-year? Is it positive, negative, neutral?
Mike Mohan: We don’t disclose that in particular. The exciting part is with advanced products, whether they be thin televisions or connected televisions, it gives us a great opportunity to engage with a solution with our customers, and that’s what we are focused on the most.
Daniel Binder – Jefferies: Okay, thanks.
Brian Dunn: Thank you.
Operator: All right, thank you. And our next question is from the line of Alan Rifkin with Banc of America-Merrill Lynch. Please go ahead.
Alan Rifkin – Banc of America-Merrill Lynch: Yes, thank you. Jim, it was mentioned that there were several initiatives launched in the quarter, which helped increase traffic, but also drove the expense line-up. Can you just in a little bit more detail tell us what those initiatives were and what is the plan for those initiatives in the second half? And then most importantly, from a profitability standpoint, did the increase in traffic offset the higher costs associated with these initiatives?
Jim Muehlbauer: Yes. Let me start backwards. First, it absolutely did. So the only cost that I was referring to, Alan, are just the normal variable costs that you would have with check lane tender and supplies and things of that nature to support the higher volume. That is a great return on investment for us to make in that particular space. As we look at the specific actions and clearly for competitive reasons, we are not going to forward our comments around the specifics around what we are doing category-by-category. But really building on the point that Mike Mohan just provided, we see opportunities in the marketplace to continue to gain share in areas that matter most to our target customers around connected devices. So as we looked at out camera business specifically, we called out in the release, we saw an opportunity to take some of the margin that we had in Q1 and really make sure that we are market competitive in the key categories and the key markets within the camera business and use that to help improve our share, because we know over the long-term we can win with those customers. So we still had a very profitable business in cameras, but we actually used some of the margin to build share. The other area we looked at candidly after looking at a sequential decline in share in our appliances business is that we think we have a great offering in appliances. We think we can connect those devices for consumers and provide a meaningful point of difference in the marketplace. And our market share, I think, is certainly under-represented versus the plans and aspirations we have in that business. So we took the opportunity to get more competitive in that space. I wouldn’t say that we were price leading, but I would say that we weren’t lagging the market during the quarter, and our share gains also reflected that. Lastly, in the television space, which is the heart of the bread-and-butter of our home entertainment strategy, we are going to continue to make sure that those higher end experiences in products that provide connectivity for customers that they are looking for solutions just beyond the flat panel, that we have every opportunity to drive traffic to our stores. So we took actions during the quarter to support our business in that space as well. Last piece I would put in there is just it’s really more of a mix issue that shows up in rate, is that the launch of the new iPhone in our Best Buy Mobile stores across the US was a great success. We actually doubled the amount of volume that we sold on the iPhone from Q1 to Q2. That had the impact, though, of lowering our overall rate within the organization versus Q1. So iPhone is not going to have a new launch in Q3 and Q4. So we will be in a more normal mix as we head into the back half of the year.
Alan Rifkin – Banc of America-Merrill Lynch: Okay. Thank you, Jim.
Jim Muehlbauer: Yes. Thanks, Alan.
Brian Dunn: Thank you, Alan.
Operator: All right, thank you. Our next question comes from the line of Dan Wewer with Raymond James. Please go ahead.
Dan Wewer – Raymond James: Thanks. Brian, I want to ask about a couple of the underperforming categories, prepackaged entertainment software and appliances. On the weakness in sales of CDs and DVDs, you’ve made hints in the past about reducing the space allocated to those products in the front end of the store. Can you update us as to the timeline as to when that may begin to happen? And then also on appliances, we are not back-to-back years of comps down 10%. I know, Jim, that you talked kind of at a very broad level about initiatives to improve that category. But is there some point where you began to ask yourself whether or not appliances is going to be an important category for the company going forward and perhaps to redeploy that space elsewhere?
Brian Dunn: Okay, Dan, thanks. So I’m going to ask Mike Mohan to comment on the appliances. But I’m happy to give you my overview on entertainment. We have a number of streams of work going around digital entertainment and what does the digital connectivity mean to entertainment to our customers. And it’s showing up in a couple of places. We have two pilots or three pilots in Canada. We have a number of pilots in CPW in London with our Wireless World stores. And you will see two pilots from us yet this fiscal year as we go to sort of test and try and learn our way through what is the best way to present these digitally connected services, these digital entertainment solutions, these digital productivity solutions to our customers. And over time, you will see the center of our store evolve to a manifestation of that, and you can count on us updating you as we learn more from those tests. As far as appliances go, and I’m going to turn it to Mike in just a second, Jim mentioned just a moment ago, appliance continues to be an important category for us. And appliance has certainly been a category that has felt this economic storm pretty directly. And we are learning some things about our appliance business and the sensitivity to some of our offerings that actually has us quite optimistic about what we are going to be able to do to grow our share in that place. And Mike, maybe you can add just a little bit of color to how we are thinking about appliances.
Mike Mohan: Great. Thanks, Brian. Dan, to your question, I think the simplest way to put it is it’s a multi-billion dollar industry in the United States that we under-index, and we’ve been very public with that. And it’s a secular challenge because the market has been in decline. So as you look for the housing market to rebound, which we are optimistic it will do sometime in the forthcoming quarters, Best Buy is really positioned well to actually start gaining some share in that space and we’ve started by just being more market competitive versus some of the incumbent players. And if you roll that tape forward to where the opportunity plays itself for Best Buy, the connected home is real and it will show itself up in the place where US consumers start caring about energy consumption and environmental issues in the first place. We believe that’s going to actually (inaudible) appliance category. So from a positioning standpoint, we actually couldn’t be better off. We just have to go through a couple of soft years to get to the state, but it’s an exciting time to be in the appliance category right now.
Brian Dunn: Mike just mentioned correctly that the connected home is real. Our hypothesis is that the connected life is very real, and that’s really what we are in services up here.
Dan Wewer – Raymond James: Thanks, Mike.
Brian Dunn: And thanks for the question, Dan.
Operator: And our next question comes from the line of Kate McShane with Citi Investment Research. Please go ahead.
Kate McShane – Citi Investment Research: Hi, good morning.
Brian Dunn: Good morning.
Kate McShane – Citi Investment Research: I was wondering if you could talk a little bit about trends you saw in certain categories in down trading and if you saw an improvement in this trend from quarter to quarter or worsening of this trend? And also can you talk a little bit about how come your private label performed during the quarter relative to national brands?
Brian Dunn: I think – Kate, thanks for the question. I think we would like Mike Vitelli to comment on that. Mike?
Mike Vitelli: Thanks, Brian. Can you guys hear me?
Brian Dunn: Yes.
Mike Vitelli: Okay, good. I would say overall – thanks, Kate, for the question. And Mike Mohan mentioned this earlier and I think Wendy mentioned it well when she was talking about netbooks, is we’ve not seen the customer [ph] massively trade down in any one of our categories because of our positioning of having both, if you will, the latest and greatest of new technology in all the different categories and our private label has been very successful against the areas that it competed. So overall we’ve been pleased with the balance between the velocity type of SKUs where we are competing against mass competitors and being able to bring out the latest products that consumers are coming to us for more and more as one of the single national chains that carry those products.
Kate McShane – Citi Investment Research: Okay, thank you.
Operator: All right, thank you. And our next question comes from the line of Gregory Melich with Morgan Stanley. Please go ahead.
Gregory Melich – Morgan Stanley: Hi, thanks. I want to dig into the traffic improvement a little bit more. So it’s one question with probably several parts. If you look at the second quarter from the first, was all the improvement in domestic comp from traffic and did ticket actually get worse if you look at it year-over-year?
Brian Dunn: Thanks for the question, Greg. I think we will ask Shari Ballard and perhaps Barry Judge to comment on this.
Jim Muehlbauer: Yes. Why don’t I give you the context on the numbers and I'll let Shari and team give you some more colors on the why’s behind that. So – no, we actually did see an overall improvement in traffic, as we mentioned. I think it’s a trend that we saw building in Q1 after the significant variability we experienced in the back half of last year. The thing that has been driving the growth in our business has been the combination of what we have been doing from an ASP standpoint on the product and our ability to attach the bundles and solutions. So it’s probably, Greg – to isolate it to one particular factor isn’t the right way to look at it. I think the other thing that you see that’s different in the quarter, Q2 versus Q1, is that our limited in-stock positions in Q1 in some key categories actually artificially helped keep our ASPs up. So when we are out of smaller screen sizes during Q1, we missed those sales. It had the interesting impact mathematically of increasing our ASPs probably more than they were. So I think we are looking at a more normalized run rate of ASP growth now.
Gregory Melich – Morgan Stanley: And was the ASP growth and basket hurt, do you think, year-over-year from credit being less available at all?
Jim Muehlbauer: Yes. When I look at our total sales based on the amount of business that we put on our branded cart, it was down a little bit really due to two things. I think I mentioned on the first quarter call we were also taking the opportunity to assess how our in-store financing programs are working. We had our 18-month no-interest financing going on for a long period of time. We’ve rotated some of that activity to other promotional offers during the quarter to drive the business differently. So we saw the predicted decline in financial services from that. We also saw a little bit of a decline versus the previous quarter from our approval rates of new private label contracts based on underwriting changes we made with HSBC last quarter. So I anticipate that actually as we tweak those approval rates based on what we actually see consumers doing now, we will be able to make some progress on improving approval rates. And as we look at the back half of the year, we are obviously evaluating what role financial services and financing offers will play in our overall promotional mix during the holiday season.
Gregory Melich – Morgan Stanley: And then finally, Brian, you mentioned the velocity looks great the way it's building. But velocity does typically mean you need more people in the stores to execute. How do you keep SG&A growing less than square footage if the traffic is actually growing and there is more velocity?
Brian Dunn: Yes. I think that – here is the core element for us. And our success has been built year-over-year on this. As velocity grows, we add in the appropriate amount of labor to help us sort of maximize that opportunity for the customer in the moment. And as I called out, we were a bit surprised, actually thrilled, pleasantly surprised, with the velocity we saw in these key core categories. So Shari and the team are adding appropriate amounts of labor to help us sort of create the end-to-end experience, which results in more solutions and bundles for us in the store. Maybe, Shari, you can add a little color to that.
Shari Ballard: I think there is three things around unit velocity increase that we are working on to make sure that the experience holds up for the customer not just in buying the product or the device, but staying very connected to what they are intending to do with and making sure that they are able to do that. One, Brian referenced on the call that we made some changes early on in the year to the in-store operating model, one of the purposes of that was to get more customer facing labor and to even out the supervisor to customer-facing employee levels in the store. So that’s one thing that we specifically are doing. Brian also mentioned on the call, we’ve had a couple months in that model now, and one of the things we felt was very early on was business performance being better through the summer than what our original plan was. So we had to do happily some hiring. But the operating model, I think, will – it is now and will continue to help us with that too. The velocity puts more pressure on merchandising. So getting better in the stores at merchandising in a way that the customers who come in and want to get the stuff and get out can do that and they can still make sure that they are able to do with the product what they were intending to, as we’ve put a large amount of effort into the merchandising in the stores. And it also has had us looking diligently at our broader offers to make sure that the offers that we’ve got, the bundles, the solutions that go with those are congruent with what the pricing is on the products and what it is that people are trying to do. So those are the main three things we are looking at around velocity.
Brian Dunn: And you can expect us to and hold us to the notion that we are going to be very efficient and effective in how we deploy those dollars. Thanks for the question.
Operator: All right, thank you. Our next question is from the line of Matt Fassler with Goldman Sachs. Please go ahead.
Matt Fassler – Goldman Sachs: Thanks a lot, and good morning. Just a little bit of follow-up on gross margin. Philosophically, it sounds like you went out and made a decision to go out and get more business using a variety of promotional tools. And that seems like, generally speaking, a bit of a change from where you had been. Do you feel like you are responding to the economy? Was it product cycle? Was it something that you saw competitively to the extent that we saw this in a number of areas across the business?
Jim Muehlbauer: Yes, Matt, it’s Jim. Why don’t I give you a few pieces on that? First off, to be really candid, there is nothing that we saw in the quarter that caused us to change our plans from the original plans we had at the beginning of the year. So these were actions that we purposely have planned all along, and it really was a combination of what you just mentioned. I think Mike Mohan took you through, we knew as we looked at the market in the appliance space that we weren’t as market competitive as we wanted to be. And we wanted to make sure based on the opportunity that we see in that industry and our relatively small share that we stay competitive with that offering. I think in the television space, as we got back into good in-stock positions, we actually had better product availability and could actually go out and build the share consistent with our plans for the year. So it’s not like we pulled a new lever in the quarter based on what we saw in Q1. It was really the plans we had set out early in the year to lead in the areas that our customers expect us to lead to, but also areas that we know that we can provide bundled solutions on complex sales that will serve our model going forward. Given the significant availability of new customers in the marketplace with Circuit’s demise, we wanted to make sure that those customers had a first hand opportunity to experience what Best Buy is like now so that we could build that path for them for the future. It is a rare opportunity to be able to build the type of share that we have with a major competitor leaving, and we wanted to make sure that we put certainly our best foot forward.
Matt Fassler – Goldman Sachs: Got it. And if I could just follow up, you helped reconcile sort of the delta from, I guess, a flat gross margin, 40 basis point mix and then 20 basis points iPhone and some other small things. If you could give us that same reconciliation versus the increase that you had in Q1, because I guess you had mix working against you roughly to the same degree, but the aggregate margin was up a bit more. So what were the other factors that might have changed from Q1 on the gross margin side?
Jim Muehlbauer: Yes. So you’re right, the mix was fairly comparable Q1 to Q2. On the gross margin side, and we talked about this on the Q1 call, we were able to – given our inventory position, we actually got better in-stock positions on some product lines like cameras where we had, we think, fresher inventory in the marketplace versus competition. That allowed us to garner some additional margin in Q1. We also – quite candidly, we were out of smaller screen sizes in televisions. So what we had left to sell from a mix standpoint, we probably under-indexed in sales, but we over-indexed in margin rate in the category just based on what we had available to sell. Those were a couple of the key things. The other key thing that was a rather significant impact quarter-over-quarter is the rate we saw on our mobile phone business decline pretty dramatically as a result of mixing more into iPhone handset sales in Q2. That phenomenon wasn’t there in Q1.
Matt Fassler – Goldman Sachs: And that’s above and beyond that new iPhone intro?
Jim Muehlbauer: What’s that?
Matt Fassler – Goldman Sachs: Is that above and beyond the new iPhone intro or is that kind of the same thing?
Jim Muehlbauer: No, that was driven by the new iPhone intro.
Matt Fassler – Goldman Sachs: Got it. Okay, thank you so much.
Jim Muehlbauer: Thanks, Matt.
Andrew Lacko: Michael, we have time for one more question.
Operator: Okay, thank you. And that will come from the line of Joe Feldman with Telsey Advisory Group. Please go ahead.
Joe Feldman – Telsey Advisory Group: Hi, guys, thanks very much. I was really curious about how – what the trends are as the product cycles have evolved. Now that we are over 50% household penetration in a lot of the key product categories, even including the flat screen TVs, how do you guys envision the sales and margin going forward? Because I would assume that that shift towards the smaller size or lower price, just in general, even on larger sizes, is going to continue to impact you. Just – can you help us think about that going forward from a longer term perspective?
Brian Dunn: This is Brian. I’d be happy to. I think that it’s one of the wonderful things about the portfolio of goods and services that we offer. And you’re right; we have been through a very explosive growth cycle in flat screen television. And there are some really interesting things coming there. But I think this – our industry, we have seen peaks and valleys through all the 24 years that I’ve been here. And the wonderful thing about us having this broad array of products is there is always something new on the horizon, a new opportunity, new product offering for us. And I think that while the deflationary nature of the products we sell, those life cycles, it’s inarguable, are shorter. The customers’ appetite for what they can do with this technology, their appetite for connecting this technology and putting it in service of their lives serves us and our position in the marketplace, I think, very, very well, because I don’t think there is anyone close to the position we have in terms of putting it entirely together end-to-end for our customers.
Joe Feldman – Telsey Advisory Group: Thanks, that’s helpful. Thank you, guys. Good luck with the quarter.
Brian Dunn: Thank you.
Operator: Thank you. And management, please continue with any closing remarks you may have.
Andrew Lacko: